Operator: Good day, and welcome to the Jack Henry & Associates third quarter fiscal year 2009 conference call. Today’s conference is being recorded. With us today is Chief Executive Officer, Mr. Jack Prim; Chief Financial Officer, Mr. Kevin Williams; and, President, Mr. Tony Wormington. At this time, I’d like to turn the conference over to Mr. Kevin Williams. Please go ahead, sir.
Kevin Williams: Thank you, Michelle. Good morning. And welcome to Jack Henry and Associates third quarter fiscal year 2009 earnings call. Statements or responses to questions maybe made in this conversation, which are forward-looking or deal with expectations about the future. Like any statements about the future, there are – these are subject to a number of factors, which could cause actual results to differ materially from those which we anticipate. Such factors are disclosed in our recent SEC filing. There could also be other factors not included that could potentially cause results to differ materially. Again, we’re please to those who call this morning to write down the update or report our financial results for our fiscal quarter – our third fiscal quarter ended March 31, 2009. I will now turn the call over to Jack Prim, our CEO.
Jack Prim: Thanks, Kev. In our last earnings call we commented on the cautious outlook regarding discretionary spending by our financial institution customers, particularly for hardware and license expenditures, and the fact that in most cases this outlook stands more from uncertainty about the economic environment than from their actual financial performance. As we expected, this cautious approach will continue until more signs of economic stability were clearly visible. We’ve modeled that we would see revenue increases or decreases in the second half of our fiscal year. And would be consistent with those observed in the first half, a six-month period that has been a steady stream of dire economic news and frequent depression era comparisons. Although we expected this onslaught of bad news will moderate in the second half, we’ve set some cost control measures designed to help mitigate the impact of a contained slow spending environment. About the time of our last earnings call, we began to get the first report of the special one-time assessments to be levied on banks to shore off the FDIC insurance fund, and on credit unions, to bolster the US Central corporate banking. These initial assessment estimates were substantial in the case of banks and massive in the case of credit unions. Following these initial assessments, US Central along with Western Corporate Credit Union was put into receivership, and the already significant initial assessment matched for some credit unions were more than doubled. As concerning that these assessments would be on their own, the problem was compounded by confusion about amounts and accounting treatments. The original FBI CSF amount were projected at 20 basis points per $100 deposits. Later step, they might be lower to ten points, with some indication that it might get a six. The final amount is still unresolved and awaiting action on Senate Bill 541. The fair maintenance will continue to surround on whether the assessment will have to be written off immediately as it’s currently required by law, or whether the Senate will approve the creation by the NCUA by the stabilization fund that would allow the assessments to be recognized over a period of seven or eight years. This bill is scheduled to be voted on last week, but was delayed after as many as 20 amendments were added by senators from both parties. It is currently scheduled to be voted on later today. These significant and unexpected financial impacts and the continued confusion surrounding the exact amount and timing of the impact added increased pressure on financial institutions' discretionary spending. And those results were reflected in our quarterly performance. LIFO, FIFO were down 31% in the quarter, reflecting reduced spending for add-on modules in both the bank and credit union segments. The credit union segments continue to see the new core sales activity in terms of number of new customers, inline with our industry leading performance to the year ago. But it also continues to reflect the trend of the last several quarters in smaller average asset size credit union making these quarter replacement decisions and the corresponding impact from licensees. Hardware sales were down 22% as a result of discretionary spending hesitancy regarding any non-mandatory additions or aggregate, lack of capitals from manufacturers such as promotions or required upgrade, and the containment travel of customers moving from in-house processing to outsource. Through the first three quarters, we have exceeded the number of in-house to outsource transitions signed all of last year. This is a base contributors of the 19% increase in the outsourcing backlog compared to a year ago. These continued deadlines on license and hardware revenues further increase are recurring revenue percentage to 77% of the total in a quarter at 75% year-to-date. Supportive services, which include one time implementation fee as well as the returning component, represented 84% of the total in the quarter. One time implementation fees decreased 18% related to both the decreased on license sales and related installations and some of the delayed product implementation. While electronic payments businesses appear to have run (inaudible) above industry outages, they were down from the more aggressive rates we have seen in the previous quarters. Our OutLink revenue growth slowed due to paper based check processing services and our IT centers transitioning to tower at branch capture alternatives. And the continued to decline in Check 21 image exchange services as more customers have lacked to switch directly to the federal reserves for these services. In-house magnet was impacted by delayed decisions for complementary product and related implementation services and records. While our customer based continues to restore these unplanned, unbudgeted financial assessments, and wrestle with the normal impact of the recessionary environment, the fundamentals of their business remains solid. And we continue to believe that the discretionary spending environment will improve when some clarity around these points can be found. The cost control actions that we took in the last quarter allowed us to maintain solid growth in operating margins in spite of the significant shortfall in high margin license fees. We indicated in our last call that we had additional cost control measures that could be implemented if we fall further deterioration in the business environment. While we still believe that we are taking temporary economic sediments, we will implement further cost control and cost reduction action to minimize the impact of this slower spending environment. As always, we will continue to look for a perfect balance (inaudible), customers, and stockholders. With that I now turn the call over to Tony for an operational update.
Tony Wormington: Thank you, Jack. Customary retention and customer satisfaction continued to be a strong focus for our operational division. Our ongoing monitoring of these metrics continues to show very positive ratings from our clients as they interact with our customer services crews. As Jack indicated, we are continuing to see nice growth within our various payments business lines. And nearly all cases, our growth percentages continued to outpace industry’s standards and year-over-year and sequential quarterly comparisons. As a reminder, our EMTN payments revenue consists of ATM and debit card processing, bill payment processing, merchant capture, and Check 21 exchange. ATM and debit card processing volumes decreased this quarter sequentially by 1%, an increase of 11% over prior year quarter. January and February volumes were off with March volumes up nicely in the quarter. Bill payment transactions volumes increased this quarter sequentially by 4% and 16% over prior year quarter. Merchant related transaction volumes increased this course sequentially by 9% and 73% over prior year quarter. Financial institutions utilizing our enterprise payment ASP solution increased to 851 institutions or 15% increase over prior year quarter. Financial institution merchants installed and utilizing our enterprise payment ASP solution increased to 17 down 880 merchants. These represents a 64^% increase over prior year quarter and number of installed merchants. We continue to have strong activity in our banking division for new quarter footprints were continues with mid care banking prospects. We believe this economic environment provides opportunities for conservative and strong managed financial institution. So we continue to control and take out cause were appropriate. However, we are managing our business for the long term benefit of our long term share holders, clients, prospects, and employees. With that I’ll turn it over to Kevin for a further look at the numbers.
Kevin Williams: Thanks, Tony. As Jack previously mentioned, during the quarter just ended, we’ve experienced a decline in our total revenue of 4% to $180.4 million for the quarter. Year-to-date total revenue is flat with last year at $554 million. License revenue decreased by 31%, compared to a year ago per quarter and advance 26% year-to-date. Also on a sequential basis, license revenue was down 14% and both the banking segment license revenue was down 25% and the credit union's stabilized revenue is down 47% sequentially. These decreases were primarily crop all product verse the impact’s with certain industry that Jack talked about along with the wise decisions that – or created from that. Every component of our recurring revenue within the sport service line revenue showed growth for the quarter, and the only component within that line that didn’t have some growth was our implementation revenue. For the quarter and year-to-date, implementation revenues decreased 18% and 11%, respectively, compared to the same periods a year ago. Also, implementation revenues were down 12%, sequentially. Again, this is due primarily to customer imposed delays; the related decrease in license revenues 26% year-to-date, which I would say have a direct impact on implementation revenue; and also, due to the slowdown in the covert motor activity related to M&A. Our EPB or electronic payments business are up 6% for the quarter and 13% year-to-date. And sequentially, with that 95% from the December quarter. Our OutLink date and time processing was up 1% for the quarter and 3% year-to-date. And again, as Jack pointed out, remember the one of significant headwinds of OutLink revenues, the decreasing traditional item processing revenues as people switch to the branch in teller capture. Sequentially, OutLink was up approximately 2% compared to the December quarter. There is no significant impact to this quarter compared to last year or sequentially due to one-time early termination fees, which is a good thing for Jack Henry because it means we’re not losing our customers. In-house maintenance grew 6% for the quarter and 9% year-to-date compared to last year. In-house maintenance declined sequentially at 6%, which we typically see a small decline in the March quarter compared to the December quarter due to the significant work orders around year-end quarter to the end of December quarter. Hardware revenue decreased by 22% for the quarter and 20% for the year compared to year ago. Primarily in line with the decreased license revenue which thrived with hardware sale and also due to the ongoing migration of our in-house customers going to outsource offering. Also, hardware’s down 22% sequentially due to the same reasons already stated and due to the fact that December is usually a stronger quarter for hardware due to vendor incentive at third calendar year-end. Our gross margins dropped for the quarter to 39% and year-to-date to 40%, compared to last year of 41% for the quarter and 43% year-to-date. This is a direct impact of the decreases in license, hardware, and implementation revenues during the quarter and year-to-date. Gross margins of both our banking segments and credit units slipped slightly for the quarter and year-to-date compare to last year. Banking went from 41% to 39% for the quarter, and from 42% to 40% for the year, while the credit unit union segment went from 40% to 39% for the quarter and from 42% to 41% for the year. Again, gross margins directly impacted by decrease in licensed, hardware, implementation revenues. Our total operating expense was higher but decreased 4% for the quarter. And for the year, operating expenses have decreased by 1%.Our operating expenses were down 7% sequentially. This was accomplished by continued cost control, and the fact that the banking’s National User Group meeting was in the December quarter, which caused for some of the drop in the operating expenses. Our operating margin decreased 21%, still a healthy 20% from the 23% for both the quarter and year-to-date. Operating margin also decreased sequentially, slightly from 22% than the December quarter to the 21% in the quarter just ended. Net result was a decreased in operating income of a 13% in third quarter and 19% for the year compared to prior year. As we have discussed in the prior earnings call, the R&D credit was extended again last December, which impacted our effective tax rate for the quarter to just under 33% from the 36.5% a year ago. And the impact for year-to-date was reduced to the effective rate of just under 34% this year, compared to 36.6% last year. The effective tax rate estimated to be approximate 35% for the last quarter of fiscal year this time. Our EBITDA decreased this year-to-date to $163.3 million for $173.1 million last year or a 6% decreased. Depreciation and amortization was $48.3 million in this year-to-date, compared to $46.1 million last year or 5% increased in D&A. EBITDA margins decreased year-to-date 29% compared to the prior year of 31%. For guidance, first of all, we’re somewhat hesitant to provide any guidance in the current environment we’re in. Obviously, the economic conditions continue to be a challenge. There’s definitely an extreme caution and debate due to the uncertainty around the potential assessment. And (inaudible) though, which makes it much more difficult to forecast or predict discretionary sales to customers, which obviously relates to software, hardware, and the related indentation revenue. Therefore, based on what we know today, our best case scenario would be the remainder of the year, the final fourth quarter tracks right along with the first three quarters. And we virtually little to no growth in revenue and the potential is flat EPS for the prior year. In this case or in just about any case, we continue to be very profitable and generating continued free cash flow. The best case scenario at this point with one quarter remaining in the fiscal year, would be if we close the deals on five proper deals, the economic environment shows fine stabilization and beginning to be some clarity around these assessments, which we then could potentially show some slight overall revenue growth and EPS improvement. Regardless, we will continue to manage our expenses and strive to maximize shareholder value for the long term. Use of cash during the quarter and during the year, we purchased 500,000 shares of treasury stock at the quarter, which takes us to $3.1 million shares year-to-date. Since May of 2005, we have now purchased $14.4 million shares and have $5.6 million shares remaining under current authorization. Also year-to-date, our cash use for acquisitions has decreased by $46 million, we’ve not done an acquisition in close to a year and a half now. Our CapEx was down current to prior year by $7.2 million to $20.6 million year-to-date. And capitalized software was up from last year by just $1.4 million to $18.9 million year-to-date. Just by per operating expenses, we will continue evaluating controlling our capital expenditures just by per customers including in this unusual times. Real quickly, our backlog was of $277 million at the end of the quarter with $55 million in-house and $222 million outsourcing at March 31st, which represents an 11% increase or with that of the year ago with outsourcing at 19% compared to then. Again remember, there are no transaction revenue represented in our OutLink backlog, which would include our EFT Dell processing, our Bill Pay or (inaudible) capture contract, which are not reflected in backlog due to the difficulty in conservatively estimating these transactional type revenues. With that, I will now open the call up for questions. Michelle?
Operator: (Operator instructions) And we will go first with Glenn Greene with Oppenheimer.
Glenn Greene – Oppenheimer: Thank you, and good morning, Jack and Kevin.
Kevin Williams: Good morning.
Glenn Greene – Oppenheimer: For my first question, I’ll just ask about the – your thought son the FIS Metavante acquisition and the implications for the competitive dynamics. And sort of how do you see that playing out an opportunity or a threat for you?
Jack Prim: Yes, that’s a large transaction. I don’t know if I see it changing anything substantially. Obviously, they will have a lot of work to do to get that done. But they got a track record of getting those done and hitting their cost take out numbers. So from our standpoint, this puts them from the side standpoint, right around the same side, maybe a bit larger than Pi serve and I think we compete pretty well against larger competitors in the business for quite sometime and would expect that that would continue to be the case.
Glenn Greene – Oppenheimer: Okay. And then different direction, I was just wondering given where we are early in the year, obviously, into May already, what are you seeing of IT budgets within those with Community Bank Credit Union? Space, we’ve heard from some of your peers that low single-digit declines and we’ve done some survey works that sort of suggest the same. I’m wondering what you’re seeing? And if you’re seeing similar, the next question following up on would be why the discretionary parts of your business seems to be falling harder than the IT budget fall suggests, if that makes sense?
Jack Prim: Yes. I don’t know if I got any great insight to specific percentage increases or decreases in budgets. The last survey on that I saw was the Independent Community Banker’s Association survey, which I think was done in November. And 85% of banks, and I think last survey I saw on credit unions was in the same range although it was a little bit more dated. The 85% of banks were projecting budget expenditures end ‘09 equal to or greater than their ‘08 budget. I think the thing that is a little different now than when they were putting those budgets in place – by and large, the biggest difference is these unbudgeted, unplanned, surprise assessments from the FDIC and the MCUA related to the items that are talked about earlier. You got to believe that most people probably went into the year with a relatively modest budget as far as growth. And that was with absolutely zero knowledge or expectation around theses assessment, which I’ll give you an example of the magnitude of the assessments we’re talking about. With one bank that I’m familiar with it’s about $250 million in assets and their FDIC assessment initially was another $400,000, on top of whatever they budgeted in plan on spending this year. Credit unions were even more dramatic. One case I’m aware of a $2 billion credit union with initial assessment, when the first news about the US Central came out – was going to be somewhere in the $8 million range and then after US Central and Western Corporate were put in the receivership, they happen to have a fair amount of money and paid in capital in Western Corporate that was wiped out. Yes. That number more than doubled. I mean, they were looking at $20 million or more, which in January they had no plans off. So regardless of what you budgeted last fall going into the new year, this kind of things show up in the first quarter, it’s going to impact the amount of money you spent no matter what your budget.
Glenn Greene – Oppenheimer: Okay. That’s pretty helpful. Thank you.
Operator: And our next question comes from Bryan Keane with Credit Suisse.
Bryan Keane – Credit Suisse: Yes, good morning. Just the drop in sport and services was a little more than I expected. I know you guys talked about some of the volumes being a little less. I guess I’m just trying to model or think about how to model that going forward. I don’t know, Kevin if you have any thoughts there?
Kevin Williams: Well, obviously there are some things this quarter that were inline with the same quarter last year such as the flight dropped off sequentially in the health maintenance due to work over December quarter. Payments business – as Tony mentioned, the volumes were down a little bit in January, February, and they pick back up in March. And they look pretty respectful in April. So I look for our payments growth to be back inline in the fourth quarter. In-house maintenance should be right back to where it was in the year-over-year comparison. It’s kind of where the first half of the year. OutLink, one of that depend on the deterioration of the IT – the IT processing business there. So the recurring revenue as part of the business should be fairly strong right on through the fourth quarter, Bryan. The one part there is the implementation, but all indications say that our implementation revenue should be fairly solid in the fourth quarter to describe that activity going on. Some of these financial institutions can delay some things because they can only delay it for so long. For example, annual releases are come up, can they put those offer well? Yes, they can, but they can only term off for so long. So I think as for the services will return to normalized growth going forward.
Bryan Keane – Credit Suisse: Okay. And then Jack, just on the assessment fees, you talked about the vote today, but when will we have some final numbers on that? When will banks and credit unions be able to turn the page?
Jack Prim: That’s a great question. I wish I knew the answer to it, Bryan. I think to some – the bill that is scheduled to be voted on today has to do with the crash on this fund that will allow credit unions to spread these assessment fee values of around, I believe it now eight years that they’re talking about. In spite of that, some will probably write it all at one time, some will spread it out. The one that will spread it out will probably be the one to, if they rid it all off at one time, would be in a weakened capital position that might cost them a different set of problems. So again, I think that the credit unions will at least know what they’re dealing with. The sooner this bill passes this week. On the FDIC assessment, in the 20 basis point would depend to something different. That again, that’s high due to the Senate Bill 541, which in my understanding is not even scheduled for a vote at this point. So I don’t know when they’ll know the answer. And I would assume that until they know the answer, they have to assume that it’s going to be a higher amount.
Kevin Williams: Yes. And one of the things, Bryan, that I remember with those assessments are basis points based on $100 of deposits. So if you think about financial institution after sitting here right now saying, okay, there's a six basis points of my $400 million of deposits or is it 20 basis points. That's a pretty big uncertainty right there that they don’t know the answer to, which, if I was sitting in their shoes, if I could delay some spending, I probably would do.
Jack Prim: And Bryan, if – I would just point out, these assessments are on top of number increases that they knew about when they were doing their budget last year, which from most bank, I think, their FDIC insurance premiums are three to five times what they paid last year. So, they went in this sure knowing that they're going to have to pay three to five times what they paid last year and then got this message. So again, the challenge for us with the percentage of our revenue, which continues to be hardware and software related, those are discretionary purchases. You know your recurrent revenues, your outsourcing revenues, those are somewhat less impacted. I mean, you’re at least going to continue paying for the first of this yard gain. You might delay implementing some new services, but that would keep revenue flat just because you didn’t have any additional services. But related to those discretionary items, those were the things that if there's a way to hold back, it's being exercised.
Kevin Williams: And just one other thought, Bryan. These assessments are all still relatively new. I mean, these – both FDIC and NCA have based was been in the last 90 to 110 days since our last earnings call. So both are relatively new, we're trying to evaluate those, but I think as much as anything, they want to make sure that the last shoe is dropped that this is the last assessment that there's not more to come.
Bryan Keane – Credit Suisse: Yes. That's what my next question was going to be, is once you get passed these assessments and gets finalize, is there another six months you got another fee on top of that or should it just be a one time hit?
Jack Prim: Well, the purpose Bryan, on the credit union side is to shore up the corporate credit unions. You know, Western corporate as I mentioned, was put into receivership. In the case of the $2 billion credit union I mentioned, that move alone, almost double the assessments they were looking at when they wiped out all their paving capital. Their primary driver behind this stabilization fund is to prevent the other corporate credit unions from suffering a similar fate. So that if they can right this offer a longer period of time, they don’t have come in and put these guys into the receiver shift and wipe out all of the capital. So, assuming that the bill passes, I think that potentially stabilizes things to a large extent. But is that the end of it, I certainly wouldn’t guarantee that.
Bryan Keane – Credit Suisse: Okay. All right. Thanks a lot.
Kevin Williams: Thanks, Bryan.
Operator: And our next question comes from Jon Maietta with Needham & Company.
Jon Maietta – Needham & Company: Yes. Thanks very much.
Kevin Williams: Hi, Jon.
Jon Maietta – Needham & Company: Hey, guys. Tony, that color you provided on different pieces of the business was helpful. I was wondering if you could just kind of roll it up – how much of a slow down did you actually see in the electronic payment side relative to the quarter? How much is that growth rate haircut roughly?
Tony Wormington: The growth rate haircut was comparing the Padford [ph] ATM and debit volumes to the prior sequential quarter and that decreased by 1% in total for the quarter. The current quarter versus the December quarter, that is only going to be a difficult comparison due to the spending that takes place. And the October to December quarter, based on holidays spent and etcetera. If you look at it from a current quarter to prior year, an 11% increase is a significant increase in those volumes. And still speaks good to the volumes that we're experiencing versus the industry at large. So I think, the tough the comparison is one, current quarter to previous quarter and the volumes of January and February were off a little bit from where we have expected them to be. But we've picked up nicely in the March quarter again performing well but not to cover the prior sequential quarter.
Jon Maietta – Needham & Company: Okay. And Kevin, at 6% sequential decline in the in-house maintenance side that decline is typical?
Kevin Williams: Well –
Jon Maietta – Needham & Company: The magnitude of the decline?
Kevin Williams: The magnitude is probably not, Jon. Typically, we probably see a 2% to 3% decline. But the fact that matter is, we just didn’t have enough proper delivery in the first half to continue driving that growth that we seem in prior years, so that the soft – the delay in software or lack thereof have a direct impact on that maintenance going forward.
Jon Maietta – Needham & Company: Did you have folks that actually can't find maintenance contracts or was it just –
Kevin Williams: No. It's just that – it looks like that. Our implementation revenue is down considerably, once an install is complete, Jon, then we start building the maintenance. We billed the Senate bill for their pro-rate annual maintenance to get them to a June 30 year end and we start taking that maintenance. So as license has fallen off the first half of the year, then that's going to have a direct impact on organic growth of in-house maintenance going forward.
Jon Maietta – Needham & Company: Got it. Okay. And here's the last question I have with regard to the cost control measures and cost reduction measures. Could you help maybe frame that or quantify that?
Jack Prim: Yes. Jon, we are looking forward with some cost the reduction. We couldn’t place some cost control staff in the last quarter. I can't recall if we discussed what those were specifically but essentially, it was a voluntary time off program that we went to our employee base and current and consider taking couple of days off without pay to buffer some of the things we are seeing. And we're very proud at our employee base that we have 62% of our employees step up and took an average of a little over two days off without pay which I think is evidence to their commitment to the company and to keep the plans moving forward. That certainly have a favorable impact in the quarter that I think, given where we are, we realized we're going to need to do a little more than that. So we have some additional cost control and cost reduction planned. I'm not going to be real specific about that on this call because some of these things we have not yet have a chance to discuss with our employees. We think it's important to them to hear about that from us rather than on earnings call. Those conversations will be taking place this week and we will be in a better position to be more specific about it at the analyst's meeting next week. And if anybody is not going to make it to the analyst's meeting, they can certainly give Kevin and myself a call next week. And we can count on them, but to give you some idea, the cost reduction things that we're looking at, we believe will have an impact roughly through the 3.5% on our salary base.
Jon Maietta – Needham & Company: Okay. Thanks very much.
Operator: And next will go to Brett Huff with Stephens Incorporated.
Brett Huff – Stephens Incorporated: Good morning, Jack. Good morning, Kevin. A couple of follow-up questions, number one, can you give us – Kevin, you mentioned that the professional services was one of the big chunk this quarter that drove the difficulty in the sales and support growth. Can you give us the sense – just give me the color again on why you think the next quarter is going to be good. I think you said that or better. Anyway, you said that people could only put things off for so long, is that the main driver or is there some other things going on?
Kevin Williams: That's the primary driver. In purpose of this call, Brett, I actually reached out to a number of implementation managers. I may have actually highlighted some pretty significant projects that we're delaying in the March quarter, but the workflow is pretty solid through April and going in to May, which was – that’s a big driver implementation or may obviously is not the convert-merge activity, which we're actually make more money on. But the implementations teams are busy this quarter and going strong side. That part is a big indicator I have – there's – we got some activity. The backlog continues to be pretty strong for implementation if they have short in some blood that – and then a lot of it depends on the timing of the billing because some of our contracts are related to some of our complimentary projects that are – we don’t bill for the implementation services until the implementation is complete. So, there could be –also some lag that – on some of the bigger covered products they delivered.
Brett Huff – Stephens Incorporated: You mean on that last point on the timing meaning things were done in March, but will be build in this quarter? Or more than they can push this quarter or maybe even to next fiscal year?
Kevin Williams: No. I mean, you get a little bit of that in each quarter that is just a kind of generic comment, Brett. That happens all the time and some quarters are bigger than others. I don’t know that there was a whole bunch of that in March that’s going to get billed and recognized in this quarter. But there is some fluctuation up and down that can cause some spike and varies in the implementation revenues because of that.
Brett Huff – Stephens Incorporated: Okay. And then just looking ahead on term fees and on any big comparisons, things we should fit, that we might need to call out toward the June quarter, is there anything notable?
Kevin William: Nothing significant, there is no much in the way of term fees last year in the June quarter and you know so far I don’t foresee any discord among – knock on wood I hope I don’t hear any.
Brett Huff – Stephens Incorporated: And okay, anyway 300 thousand for the 1Q08 quarter is that right?
Kevin William: Yes.
Bret Huff: So okay. And then my last question or last one to two questions. Number one, if a lot of this spending is being put off because of the assessment by both bank and credit union. How much do you sense, tends up as that and will be a sort off a releasing of the flood gates at some level and how much of it is part of this cyclical funk that we are in over all?
Kevin William: Brett, I don’t know if I could quantify for you at this time. But we definitely that the is some panned out demand out there that we will see things start to move back into the market when they feel a little bit better that they have some idea what the future holds. So it is not so much – for most of our costumers, there are a few that have been (inaudible). But again, it's not so much the recessionary impact that they’re dealing with that’s the big issue. They’ve managed through those kinds off cycles before. But again, it’s the magnitude of these large numbers that have appeared quite suddenly and the lack of certainty about whether the end of it. Even if you knew what that number was. So I think costumers need products and I think we definitely have some panned out demand out there that will start to benefit from. Hopefully, by the next few quarters.
Brett Huff – Stephens Incorporated: Okay. That’s helpful. So last question is, on the general health of banks that you all serve aside from the assessments and that kind of one time nature of them. You mentioned that you thought the health of the banks that you serve and that pretty that is largely okay. Can you comment on that versus the – should we continue to read about commercial real estate exposure that banks have. When you look at the balance sheets of your banks do you see risks because of the commercial real estate now that’s coming?
Kevin William: I wouldn’t tell you that there is no risk. But you know Brett, our costumers – if so much if what ends up in the news relates to larger financial institutions. And certainly our costumers do commercial real estate and these kinds of things but there is so much for commercial real estate they do at home are occupied. They’re not doing typically a lot of strip mall financing and those kinds of things. So is there some exposure? Yes, it certainly appears that and from our conversations with our costumers and prospects that feels like that it’s a manageable number, so I don’t think that they’re looking at anything that is major in the potential impact there.
Brett Huff – Stephens Incorporated: Okay that’s all I have thanks.
Kevin William: Hey Brett, one more comment. Actually one of our approximate margin maximized our product. One of our sales guys did a complete survey of the banks that used that product. And I cant remember, the exact number, but out of that 300 or 400 banks that they looked at that. It’s like 65% of all the commercial loans are less than $50, 000, which kind of helped me believe that there’s not a huge exposure from our bank users from our commercial loan aspect on individual loans.
Operator: And next question comes from Dan Perlin with RBC.
Dan Perlin – RBC: Thank you, Good Morning guys. Coming on a different note, I’m wondering with you know the merger Metavante and Fidelity, obviously, you guys get kind of tossed out as a potential company to be acquired. So Jack, my question to you is really what kind of standard or expectations or demands would you have upon an acquirer as you look at kind of a state of an industry right now and then understanding how important you are to your local community?
Jack Prim: Dan, I don’t know that I had a specific demand or a local community, we certainly understand our obligation to our stock holders and our view tend to be on a long term view for the company and that way we decided the type of premiums that we’ve seen all summer in these transactions that we can do long term we were better with what we felt we can do long term then that’s really not even an item that were spending time talking about and again. We still feel like our business model is very solid and we think that some of the consolidation activity in the market place works to our advantage. Both from the standpoint of core sales and I think we have long had the most focused strategy in either the bank or the credit union market of any we could be with, I don’t think that the sheer size advantage of some of these combinations is necessarily the size advantage. Again, we’ve had at least one competitor that’s been on the size range over the loan and I think we’ve competed very effectively. And again we understand our obligation with our stockholders and we don’t believe that those kinds of combinations would be better than what we can do for them for the long term.
Dan Perlin: And then, if we flip the equation given the fact that a lot of players are pretty distressed in the market. Would you be willing to look at opportunities as an acquirer of other technology players either here or outside the United States?
Jack Prim: Absolutely, without question the answer is yes, here in the United States and I’ll qualify that as I always do at some reasonable price. Obviously, those prices were two to three years ago not in the realm of what we all reasonable may or may not be in some cases at this point. But certainly domestic opportunities, we’ll be interested in. Internationally, I think we certainly would take at an opportunity there that would certainly takes more experiment and more study and due diligent to make sure that it makes sense. But as you know generated fair amount of cash stand ready to do acquisitions that we feel like makes sense.
Dan Perlin: Excellent, and then I appreciate your comments around 3% to 3.5% on kind of the salary base reduction. I’m wondering when you target other opportunities and I understand that you’re not going to speak specifically, but are there other opportunities where advertising dollars are cheaper nowadays so your marketing could be reigned in. Are you getting more for that, but you’re actually going to be able to spend less? And then on the R&D side, do you fell that you got to keep running hard to develop these products in a market where it seems like most people have already signed up for what you’ve already built into your backlog for probably several quarter now?
Jack Prim: Well, if on the marketing standpoint, I think we have seen some benefit there and I think that some of that impact is probably reflected in the numbers currently. I don’t know that I could tell you that I expect to see dramatic decreases in that going forward. From an R&D standpoint, that’s the business we’re in. And I think we will continue to invest in our products to keep your product competitive there’s a significant amount of development that you need to do on an ongoing basis just enhancing the basic features functionality and integration on other of your existing products, many of those enhancements are not billable, chargeable enhancements. And an addition to the product development that you do for new applications and I think you can generate additional revenue on. So I think we’ve done a pretty good job of trying to, I would say, reigning in those R&D expenses. I'm not sure that's the right term, but to certainly moderate some of the – that growth in any event and – but I do – God knows that I see dramatic changes coming in the area of R&D investment. If anything, I think it’ll be important for us to at least stay at somewhat comfortable levels to take advantages of opportunities that are in the market potentially related somebody I can follow consolidation activity through if taken place.
Dan Perlin – RBC: Okay. Thank you very much.
Operator: (Operator instructions) And we would John Kraft with D.A. Davidson.
John Kraft – D.A. Davidson: Good morning, gentlemen.
Operator: And we will go next to Tim Fox with Deutsche Bank.
Tim Fox – Deutsche Bank: Hi. Thanks. Good morning.
Jack Prim: Good morning, Tim.
Tim Fox – Deutsche Bank: Just a broader question around the pipeline, I have received pipeline conversion right now as being pressured and you did mentioned that there maybe a fair amount of some pent up demands at certain aspects of your business, but can you just comment probably on your overall pipeline when it comes to different segments of the business whether be on license or implementation for that matter?
Jack Prim: I can't tell those numbers, Tim, and jump around some from quarter-to-quarter, but roughly flat in terms of what we’re seeing here. The credit union side of the business, frankly, somewhat to my surprise, we continue to see a new for sales implementation there and we had a real solid year in terms of number in new customers added last year and right now we're tracking writing loan with that number of total customers and may actually exceed little bit for the year. Banking side obviously, the nouveau activity has gone away for the time being. On the topic of pent up on demand, that's one where we definitely think there will be building demand for that when bought the economy stabilizes and capital is low more attainable. There's awfully strong interest in this country in doing business with locally on banks and we think that there's a good and better nouveau activity we will see come back, but that's probably the end of period guess work about a year to a year and a half away before we are likely to see that. But in our Profit Stars business, I think that some of these consolidation in the industry not so much the big accounts and transactions that we've talked about, but the fact that everybody in the business is trying to have a very complete product line they want to be the provider not only of the core, but the internet banking in teller automation and check engine, and all the product that they can provide to their core customer bases. I think the smaller mix player or stand alone software providers are probably being freeze significantly impacted by that. And I think that while banks like to have alternatives our profit store's approach represents a nice alternative because there are best of great products. But they also happen to be associated with a company with a very strong balance sheet that they suppose to have maybe a little more confidence spending money with, than they might with a small mix provider. So you know Dan, I think generally pipelines while they can burry a little bit from quarter-to-quarter they're roughly flat and pretty much same thing we've been seeing.
Tim Fox – Deutsche Bank: In my follow-up is, talk about the dynamic in the past where you're seeing an increased amount of in house going to out sourcing, it sound like that I continue to add pace if not ahead of last year. And you've also talked about in the context of this in house to out sourcing how you've actually increased the run rate so many to engagement. Just wondering in this environment, are you still seeing when this things do convert an increase in the run rate this customers tend to buy some of this follow on product on a new tight spaces.
Jack Prim: Yes. Again, we continue to be strong if it's not at anything the environment may even be accelerating some of that interest. We talked about facts that on hardware upgrades, processor upgrades, it's all discretionary people tend to hold off. Sometimes the ability to hold off just is not fair. You either need to make a move or whatever or even if you do that the ability hold off for now and – but you've seen what this different price is going to be when you get to the point where you can no longer hold off. I think some of those kind of think probably accelerated the interest level and we are also saying accelerated interest level on the credit union side. We're of course – they've traditionally been much more inclined toward in-house deployment. So in terms of the run rate and the revenues that they were seeing there, haven't done the averages on a year-to-day basis like we did last year. We'll take a closer look at that may deferred to comment on that next week. But I think we're still definitely seeing increases whether they're increase of the same magnitude or not, I have to do the math on that to see, but I suspect that probably going to be pretty close to and align to what we saw a year ago.
Tim Fox – Deutsche Bank: Great. Thank you.
Operator: And with no more questions in the queue, I'd like to turn it back to Mr. Kevin Williams for any additional or closing remarks.
Kevin Williams: Thank you. One thing I'd like to clarify that nobody asked a question is, in the press release we talked about our further revenues were down. And I just would like to speak on that real quickly. If you remember, our deferred revenues are actually broken down into two components. The current deferred revenues in the long term, and it's the long term deferred revenues, which accounted for the 30% of the overall decrease – it's exclusively long term hardware maintenance related contract. The current deferred revenues was actually down about $6 million of 6%, which half of that is due to the change in billing, which I've talked about last quarter. We changed the timing of rebilling for insuring fast recovery services to June 30th and instead December 31st. So half of the decrease is related to that. And the other half is primarily due to the other common comment I made earlier in just the decrease in license over the first half of the year that we’re not charging any maintenance. But there is more maintenance to get it to June 30th. So I just want to clarify that in case there are any questions out there about our deferred revenue in our balance sheet. And with that, first of all I would like to remind everyone that we are having our upcoming annual analysts' day in Dallas next Tuesday, May 12. We'll begin and take it off with a mini sector and light dinner on Monday evening to highlight some of our newer product. And then on Tuesday, you will have the opportunity to hear from the majority of our operations team, our national field managers, and the executive team. The Tuesday event should conclude about 3:00pm on Tuesday afternoon. If you've not yet registered and would like to attend, please send John Sier [ph] or myself an email, and we'll give you the registration link to get you signed up. Now in summary, I want to thank you for joining us today to review our third fiscal 2009 quarter results. We obviously are not overly pleased with the discretionary revenue during the quarter and year-to-date. However, we are pleased with the effort of all our associates to help control our costs. We remain confident that we are well positioned. And with the right product and services and approach to finance the services market, we also believe that with the proper resources and those people and technology for this to continue to reach our opportunities. We remain committed to build on all of our base strengths. Our executives, managers and all the members of our team continue to focus on what's best for our shareholders. With that, Michelle, will you please provide replay number? And thank you all for joining us today.
Operator: A replay of today's conference will be available starting today at 10:45 a.m., Central time through May 13th 11:59 p.m. Central time. The confirmation code is 9343402. And you may reach us by dialing toll free 888-203-1112, or for those of you outside the United States 719-457-0820. This concludes today's conference, we thank you for your participation.